Operator: Good morning, and welcome to JBT Corporation's First Quarter 2021 Earnings Conference Call. My name is Megan, and I will be your conference operator today. [Operator Instructions]. I will now turn the call over to JBT's Vice President of Investor Relations, Megan Rattigan, you may begin.
Megan Rattigan: Thank you, Megan. Good morning, everyone, and welcome to our first quarter 2021 conference call. With me on the call is our Chief Executive Officer, Brian Deck; and Chief Financial Officer, Matt Meister. In today's call, we will use forward-looking statements that are subject to the safe harbor language in yesterday's press release and 8-K filing. JBT's periodic SEC filings also contain information regarding risk factors that may have an impact on our results. These documents are available in the Investor Relations section of our website. Also, our discussion today includes references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found in the press release issued last night, which is also in the Investor Relations section of our website. Now I'd like to turn the call over to Brian.
Brian Deck: Thanks, Megan, and good morning, everyone. As you saw from our earnings release, JBT delivered a very good first quarter. Commercially, we are enjoying a strong recovery in demand of FoodTech with record orders in the period. Cash flow was outstanding. We also saw some encouraging signs at AeroTech. On the other hand, we are experiencing increasing operational challenges created by supply chain constraints, inflationary pressures and COVID-related customer access in select geographies, pressures that will likely persist through the remainder of 2021. That said, I am extremely proud of how well our people, from sales and customer care, to manufacturing and procurement have managed this environment. And we continue to expect a meaningful sequential ramp in our performance through the next three quarters. Matt will walk you through our updated guidance for the full year as well as provide analysis on our first quarter results.
Matt Meister: Thanks, Brian. We are pleased with our first quarter performance. In the quarter, we saw strong quarter growth in FoodTech at 22% year-over-year. Revenue met our forecast, and both earnings per share and free cash flow exceeded our expectations. On a year-over-year basis, revenue increased 1% at FoodTech, while declining 28% at AeroTech. FoodTech margins were in line with guidance, with operating margins of 13.3% and adjusted EBITDA margins of 18.7%. AeroTech margins were ahead of expectations with operating margins of 9.3% and adjusted EBITDA margins of 10.7%. The better than forecasted margins were the result of favorable equipment mix, better-than-expected aftermarket revenue and good cost control. Earnings in the quarter also benefited from lower interest expense as continued strong cash flow reduced our debt balance. Additionally, corporate expense, M&A and restructuring costs were slightly favorable to guidance. As a result, JBT posted adjusted diluted earnings per share from continuing operations of $0.90 or GAAP EPS of $0.84. Free cash flow for the quarter significantly exceeded our expectations at $78 million, driven by continued strong collection of accounts receivable and customer deposits. The robust cash flow performance improved our bank leverage ratio to 1.9x and increased overall liquidity to $496 million. We expect to expand our balance sheet to support an increase in sales in the back half of the year to achieve full year free cash flow conversion just above 100%. As we look ahead to full year 2021, while we are benefiting from strong commercial activity, challenges in the operating environment are expected to increase further as we work through extended vendor lead times, worldwide constraints on logistics and inflationary pressure, specifically on metals as well as COVID travel and access restrictions in Europe and Asia Pacific to increase the cost of doing business. With that in mind, we have refined our full year 2021 guidance. Given the strength of orders and outlook for FoodTech, we have raised top line growth to 9% to 11%, up from our previous guidance of 5% to 8%. However, while we expect to be able to mostly offset inflationary input costs with sourcing actions and pricing, the operational challenges I mentioned previously are expected to exert downward pressure on margins. Therefore, we have lowered full year margin guidance by 25 basis points, with operating margins of 14.25% to 14.75% and adjusted EBITDA margins of 19.25% to 19.75%. Our guidance for AeroTech is unchanged with projected revenue growth of 0% to 5%, operating margins of 10.75% to 11.25% and adjusted EBITDA margins of 12% to 12.5%. Due to existing pricing commitments and current market conditions, in the short term, AeroTech is limited in its ability to adjust prices to offset inflationary conditions. Therefore, although AeroTech exceeded margins in Q1, we have held our full year margin guidance. We are holding our forecast for corporate costs at 2.7% of sales, while lowering interest expense to about $11 million. Altogether, this increases the full year adjusted EPS range to $4.40 to $4.60. Our GAAP EPS guidance is now $4.20 to $4.40 with M&A and restructuring costs of $8 million to $10 million. Now in terms of Q2, we expect revenue of $325 million to $340 million at FoodTech, and $105 million to $115 million at AeroTech. Our second quarter guidance for operating margins are 13.75% to 14.25% at FoodTech with adjusted EBITDA margins of 19% to 19.5%. For AeroTech, operating margins are forecasted at 8.75% to 9.25% with adjusted EBITDA margins of 10% to 10.5%. For the quarter, we expect corporate costs of $12 million to $13 million, M&A and restructuring costs of $4 million and interest expense of about $3 million. That brings second quarter adjusted earnings per share guidance to $0.90 to $1 and $0.80 to $0.90 on a GAAP basis. With that, let me turn the call back to Brian.
Brian Deck: Thanks, Matt. I'd like to start by talking about order trends and what we hear about the market from our customers' perspective. In the first quarter of 2021, FoodTech orders hit a record $386 million. The pandemic driven boost and needed home retail and quick service restaurant demand continued into the quarter, fueling orders from food processors, requiring additional capacity and automation to serve these markets. From a geographic perspective, North America and the Asia Pacific region continued to be strong. South America improved meaningfully, while demand in Europe remains volatile as the region works through the challenges of the pandemic. Our research and customer engagement confirms our expectations of double-digit expansion in capital expenditures among our FoodTech customers in 2021. This is consistent with our forecast for FoodTech equipment growth, which is expected to outpace our more stable recurring revenue. Beyond the current strength on the retail side, we believe progress controlling COVID, particularly in the U.S., will spur new projects on the foodservice side. Inquiries and conversations with customers serving the foodservice market have picked up. At the same time, the pandemic has accelerated customer investment and permanent design changes, production flexibility, so producers can respond quickly to shifts in demand is increasingly important. Moreover, the pandemic serves to make automation, which was always a priority and imperative for food processors. Automation not only addresses labor shortages and enhances productivity, but is necessary to reduce worker density. At AeroTech, although orders were down 35% compared to pre pandemic levels a year ago, it met our expectations, and there are some encouraging signs. We continue to see stability on the infrastructure side with our Services and Passenger Boarding business, but with some construction-related pushout of bridge deliveries from Q2 to Q3. This is reflected in our guidance. And as we've discussed over the past few quarters, we're excited about the outlook for cargo in 2021 and military demand longer term. Additionally, our engagement with commercial airlines improved in the quarter, resulting in a few equipment orders, something we have not seen since the collapse in paster air travel in 2020. The recent increases in domestic consumer air travel in North America is a welcome sign. However, we believe improvement in commercial airline CapEx spendings will be gradual over the next 2 years. Let me switch gears and talk about M&A. As we said last quarter, we're looking to deploy capital in 2021 and beyond as we evaluate strategic acquisitions that advance FoodTech's competitive position as an innovative, comprehensive solution provider. Our M&A pipeline is active and includes opportunities to leverage JBT's capabilities and scale. We continue to look at equipment providers that provide -- that enhance our ability to provide full airline solutions as well as those that expand our penetration to attractive food categories. Additionally, we look at companies with unique service, digital and process enhancing capabilities that enhance JBT's strategy to be a more meaningful solutions partner to our customers. Overall, we are reassured by the robust commercial activity at FoodTech, an indications that AeroTech is on the upswing. While we have challenges ahead this year caused by transitory supply chain imbalances, JBT and our people look forward to delivering in 2021. With that, let's take your questions. Operator?
Operator: [Operator Instructions]. Your first question is from Walt Liptak with Seaport Global.
Walter Liptak: Good quarter. I wanted to dig in a little bit on the FoodTech orders that look pretty good. I wonder -- you provided some details, but I wonder if you could talk a little bit more about sort of the product groups that you're seeing recovery? In the past, you've talked about proteins versus liquid food versus pet foods. If there's any trends that we can discern there? And wondered about any customer concentration? Are these large orders coming from some of the large food producers? Or is it from a lot of the food producer customers?
Brian Deck: Sure. Thanks, Walt. So generally speaking, it was pretty broad-based across the customer base. I think we've seen some strength, both on the big side -- on the big customer side, but -- as well as some of the normal, call it, mid-sized regional players. So pretty broad-based. In terms of the way we think of it -- on the demand side, as we think of it in terms of end products, in terms of where it's going to the consumer as well as the product that we actually provide. So if you look at the quarter, poultry was really strong in Q4 and remained strong in Q1. We saw real strength from meat alternatives. So beef and chicken alternatives was very strong.  We saw good strength in seafood in nonpoultry, so meat and other meat items. And then good strength in fresh fruit applications as well. From a product perspective, freezing products were quite strong, marinating, portioning, tray sealing. Packaging was strong. Cooking, coating, frying was strong. And canning was strong. So fairly broad across the product line as well. So condition wise, it's probably the best we've seen in some time.
Walter Liptak: Okay. Yes, that does sound very strong and broad. I wonder -- you mentioned new capacity. I wonder if there's any trends that you can discern about -- is this new capacity going in? Or is this new product development and new production lines that are going in?
Brian Deck: I think it's a combination. But just we can see it is, I'll call it, a catch-up on some capacity constraints that our customers were seeing, again, to meet, I would say, primarily the retail side as well as also serving some of the quick service restaurants with relative -- pretty strong in the back half of 2020 and into 2021. But predominantly, I would say, capacity. But also just to remind you, when our customers consider capacity increases, they look at the offering that also provides good other value in terms of automation and food safety and all the other things that we bring with our fair value proposition. So it is a combination of factors, but the primary driver would be capacity.
Walter Liptak: Okay. Sounds good. And maybe a last one. You kind of touched on this, on these orders is you've talked in the past about automation and IoT and using more of the technology. Are you starting to see that in some of these orders?
Brian Deck: Yes. Absolutely, we are. And I can tell you the conversations, we -- I've had since being in this role with our CEOs, with our -- sorry, with our customer CEOs and COOs, is that they are focused on automation and reducing labor. And we've got a good value proposition across our offering. As I mentioned, we have a great IoT platform. We have great automation solutions, particularly in certain areas that we highlight to our customers. So the conversations have ramped up. But again, as you know, we offer such a good broad value proposition, we don't focus solely on automation and the conversations. We focus on everything else that we bring, including the service side, which is really critical and certainly our IOPs, IoT platform, adds to that value proposition.
Operator: Your next question is from the De Maria with William Blair.
Lawrence De Maria: So just following up on those comments on the food orders, which are obviously exceptionally strong. I'm just trying to understand how much of 1Q orders might have been an anomaly with restocking, et cetera? Or do we think that maybe we're at some sustainably high level for a while, given what you're talking about with the automation and IoT trends? Because obviously, record orders, but also could be some restocking and getting in line because of everybody knows there are extended lead times.
Brian Deck: Sure. It's not so much restocking because these are still more configured to order, quote to order type projects that we've been working on for some time. Arguably, there was some pent-up demand from deferred investment in 2020. So not so much restocking, but just really filling the gaps from before. And it's hard to say kind of where the trends are going to go from here, Larry. The way I do think of it, if you go back to 2019 and look at kind of a normal order run rate for FoodTech is, call 340 to 350 orders in a particular quarter. That's what That's what I see is the baseline. Obviously, for the last two quarters, we've been above that. It's too little, too early to know how that's going to progress from here. But certainly, given the last two quarters, we're above that trend line, and we'll see how that develops over the next quarter or two. But it's a good commercial market for sure.
Lawrence De Maria: Understood. And secondly, you touched on M&A, the $4 million this quarter. I think it was $1 million in change last quarter in expenses. Obviously, the active pipeline. Just to diversification in a little bit closer here. Are we thinking 1 larger deal that is implied by this $4 million spend or more smaller deals and still staying within the core secondary further processing or maybe getting more horizontal into packaging, et cetera? Just any more color to think about...
Brian Deck: Sure. Yes. And just as FYI, that $4 million included both M&A and restructuring costs. So it's kind of about half and half as we complete some of the restructuring efforts from the end of last year. But we do have a really well-developed M&A strategy, and the pipeline is pretty broad in terms of -- the way I think of it, Larry, is there are some decent-sized equipment opportunities that we -- from a proprietary perspective, we continue to cultivate over the last several years and just tried to stay close to these owner operators. And we're willing to -- we do like go in both directions in terms of going to the right into packaging, potentially into -- more of the, what we call, secondary processing and even dipping a little bit into the primary processing for things that are adjacent to our offering on the secondary side.  So that's from the equipment capabilities perspective. We're also interested in going into deeper -- we're pretty broad-based, as you know, on our product offering. But there are some areas that we wouldn't mind going a little bit deeper into our penetration and the actual end consumer market categories that we talked about, things like nutraceuticals and other, areas of higher growth that we continue to look at. And where we spend our money, we do a lot of research on these end markets and where we think these things are going. So we do spend a lot of time thinking about where we would like to deploy our capital. And as part of that, we developed a pretty broad funnel of opportunities. And then as we -- as those start to mature, we know precisely where they fit within that strategy for M&A, and so that we're well ready to execute when they arise.
Operator: Your next question is from Michael McGinn with Wells Fargo.
Michael McGinn: I just want to go back to the change in FoodTech. I'm doing some quick back of the envelope math here. And it looks like revenue relative to the old guidance coming up $50 million, really only like a $4 million or $5 million profit pull-through. And if you were to square that up with your margin rate what you were projecting before, it looks like a $3 million inflation hit that you're underabsorbing this year. Is that kind of the way you're looking at it? And do you think that's peaked? Or how would you frame your current guidance there?
Matt Meister: Mike, this is Matt. I think your numbers are pretty close in terms of sort of what we're seeing on the inflation side. I think normally, we would expect to see flow through on the incremental sales in the high 20% to low 30%. But just given some of the inflationary pressures we've seen intensify over the last 2 months as well as some of the -- just the inefficiencies that we're experiencing with the supply constraints and logistics constraints, that's actually putting a lot of pressure on our costs on the manufacturing floor. And so I think -- would say the pressure is probably about 25 to 50 basis points that we're seeing off of our normal flow through on the incremental sales.
Michael McGinn: Got it. Appreciate it. And then maybe just on the good growth, and you need to fund that with the balance sheet, was that more of an inventory point or more of a receivables because you had good collections this quarter? Can you walk me through the puts and takes on your free cash flow for this year?
Brian Deck: Sure. In the first quarter, the strong performance on cash flow was really driven by collections on receivables. And then the -- actually, the timing and collections on the deposits associated with the orders that we received in the quarter. So that's really what the upside was in the first quarter. We didn't really see a significant investment yet in inventory in the first quarter, a little bit on the FoodTech side. But that was offset slightly with AeroTech's inventory being down. But as we get into the second quarter, we do expect to see an investment in inventory to support sales growth, not only on the FoodTech side that's coming through in the orders, but also in the back half of the year, we had expectations for the AeroTech business to grow. And we need to invest in some long lead time inventory items in the second quarter.
Brian Deck: Right. And then I'd add that, obviously, with the revenue growth in the back half of the year, we would expect receivables to grow in the back half of the year, too.
Michael McGinn: Okay. So is this a situation where if you saw the right deal kind of similar to the auto coding deal, do you think you can fund this internally? Or do you foresee yourself dipping back into the debt market? I'm just trying to get a feel for leverage also the back half of this year.
Brian Deck: Well, certainly, I'll let Matt speak to the capital structure. But with -- we have $1 billion credit facility with less than $500 million of usage right now. So lots of capacity there.
Matt Meister: Yes, I would say -- just to add to that, that, like Brian said, we have plenty of capacity in our current capital structure to support some of the smaller bolt-on deals that you've seen us do in the past. I think if there was a larger deal or there was more urgency with a number of deals lined up, we would evaluate options in the capital markets, and we're currently just looking at that more closely, just as the capital markets are very supportive of new transactions. But right now, there's just not an urgent need. And so we're going to continue to evaluate that and wait and see if there's a new need for us to go out into the capital markets.
Operator: Our next question is from Joel Tiss with BMO.
Joel Tiss: I just wonder when -- can we talk about Aero a little bit and when prices reset there? Is that a kind of a once a year? And any color on what you're hearing from your customers? It seems like it would be more of 2022 and '23 kind of the recovery, but just any color you've got there?
Brian Deck: Sure. Yes, Joel. It depends on the customer. Some of the larger, more sophisticated customers that we have. They tend to have annual price agreements and that's for, I call it, a more stable contract-type business that we do with them. And that applies on the Jet bridge side, the passenger boarding bridge side as well. Those are locked in contracts over the next year or 2. But what we do on that side is we attempt to lock in the metals prices as we enter those contracts. So it's more of a pressure on the ground support side, on the GSE side. And again, that's a mix of customers, larger ones, that do annual contracts. But then I would say the business that kind of comes and goes more frequently, less contractual or less of under contract basis, we have a little bit more pricing authority, but that's really based upon market conditions and what we see from competition. So it's a little bit more fluid on that side. But certainly, as we run into 2022, we'll have a better opportunity to assess where we are.
Joel Tiss: Okay. And then just a quick one on the backlog rising 24% on the 22% order increase. Is that inability to get anything out the door? Or is just sort of a natural seasonal flow of the business?
Brian Deck: It's generally natural seasonal flow of the business, I would say. So we would have expected that kind of this time of the year anyhow. That said, our vendor lead times are extending between the logistics challenges, et cetera. So we're starting to see our lead times as well as our competitors' lead times start to creep up a little bit, especially as we try to make -- be pragmatic about when the parts are coming in and the realities of that. But it's a reflection of the robust nature of the commercial environment that we're seeing is backlogs will probably continue to creep up a little bit over the rest of the year.
Operator: Our next question is from Mig Dobre with Baird.
Mircea Dobre: I wanted to maybe follow-up here on Joel's question as far as backlog goes. I'm just trying to get a better grasp for how you're thinking about the cadence through the year in FoodTech here, right? I mean just based on your comments for Q2, we're running revenue at, call it, $310 million, $320 million per quarter in the first half. But then the guidance implies you getting up to, on average, about $360 plus million in the back half of the year. So I'm sort of trying to understand if that's a factor of kind of how you're seeing customer deliveries and customer preference in terms of the timing of how you're delivering out of the backlog? Or if there's an implication here that these supply chain constraints that sort of impact you near-term get resolved as the year progresses and you can actually convert on a backlog and start to realize those revenues?
Brian Deck: Right. And to be clear, we did increase our revenue guidance from FoodTech, which was $312 million in Q1 to $325 million to $340 million. So there is more of a gradual ramp up. I would say, the vast majority, Mig, is based on customer demand and backlog intended deliveries. We are trying to be pragmatic in understanding a little bit of the pressures, as I just mentioned with Joel, in terms of being able to make sure we deliver on those backlog requirements and customer requirements. But the vast majority of the cadence of the revenue is based on customer demand with some consideration for the supply chain environment that we're working under. I see. So it's not as if the supply chain is the only determinant on -- under revenue cadence? That -- okay. I get that part.  Then I guess my question is, on the margin structure, right? I mean you're guiding Q2 margins down year-over-year, but down relative to 2019 as well in FoodTech. But the back half of the year, we're seeing improvement, right? We're seeing improvement year-over-year. We're seeing improvement relative to 2019. So I guess I'm sort of curious, again, how you're thinking about these costs? Or essentially, what is it that gets better in the back half relative to the second quarter?
Matt Meister: Mig, this is Matt. I think what we're seeing in the second quarter is just the timing of our ability to be able to offset some of the inflation that we're seeing with higher prices as well as with some of the sourcing actions that the team is taking. And I think our confidence in our ability to adjust prices in the second half as well as the sourcing team being able to either find additional sources of supply at maybe better prices will help us expand the margins in the second half of the year.
Mircea Dobre: How much of this would you say is within your control? And you have visibility on it today? Versus things that are kind of on the in terms of being able to deliver on your margin guidance?
Matt Meister: I would say, on the inflation side, we have pretty good visibility because we are getting -- we know what's on order, we've got the strong backlog, obviously. So we got a pretty sophisticated sourcing group that looks very specifically and they can identify by category, by area where we've got, where we have exposure on the metal side or otherwise and gives really good visibility to our commercial folks and our operations folks as to how to address those issues. So I would say that is we have more visibility on. The supply chain constraints, particularly in the second quarter, those are a little bit harder to predict because we -- when did the shipping lanes open up a little. We're really seeing about three week delays on logistics generally compared to where we otherwise would want to be.  So that one is a little bit less visible, Mig. But we think we've got a pretty good handle on it in terms of what it could result in. And we have tried to consider that in the guidance itself. And then just as a reminder, COVID still is frustrating a little bit in Australia and some other -- in India, and other -- some of the other Asian countries, but also in Europe, too, particularly Spain, Italy and a couple of other places. So that -- we try to consider that as well because that actually adds to logistics costs or travel costs the quarantine, et cetera. So we really have tried to consider all these things appropriately. We think pretty good handle on it, and it will create some pressure, which is why there's a lower flow through that Matt talked about for the remainder of the year. But yet, despite all that, Mig, we're delivering pretty good margins and margin growth year-over-year.  And so we're really pleased about that to be delivering margin growth in a really tough environment, inflationary environment, supply chain challenge environment and delivering 9% to 11% growth on the FoodTech side overall. So it's -- and by the way, I mean the growth comes hand-in-hand with the supply chain challenges. Obviously, the industrial world, this real peak in demand is putting pressure on the supply chain. So they little bit go hand-in-hand. And if I had a choice of lower volume and better costs or higher volume and higher cost, I would take that all day long.
Mircea Dobre: Yes. I would agree with that comment, Brian. I guess what surprises me a little bit, right, is that in Q1, your margins were better than Q1 '19. In Q3 and 4, your margins are implied to be better than Q3 and 4 '19. It's only in Q2 that we seem to have a problem with and at least in theory, you would have had some level of visibility. We all know that costs were going up, that freight was going up. So something seems to be special about Q2 in terms of being worse than any other period in a year. And I'm just trying to get a sense what that is? Why is it that Q2 is so problematic? And I think to some degree, you've explained that.
Brian Deck: I would tell you that the quick move in the logistics, in particular, with the Suez Canal and some of the real recent supply chain constraints we're trying to reflect that properly. And then we're able to recover as the back half of the year concludes.
Mircea Dobre: Okay. Then my final question on AeroTech. If -- you definitely sound more confident than you were in the past as far as the demand trajectory in this business. But if I'm just looking at order intake, order intake is actually worse in Q1 than what you've seen in the back half of 2020. And arguably speaking, COVID has gotten better, not worse during Q1. So I guess I'm wondering what are you hearing from customers that might have diverged from just a pure order intake to give you this confidence? And as you look at your full year guidance, do you expect orders to be able to sort of keep up with the revenues, right? So do you expect sort of book-to-bill to approximate 1? Or are we essentially factoring in significant backlog burn as the year progresses in order to deliver your revenue guidance?
Brian Deck: Right. So in the -- the reason why I feel confident on the orders, so we're about $100 million in orders. What was interesting and which I like what happened in the first quarter was that we saw an improvement in the ground support order activity on the, on the cargo loaders, in particular. And as you know -- and a little bit lower orders on the Jet Bridge business, which tends to be quite lumpy. So we see that -- the fact that the GSE side is improving is a really great sign to us. And we know we have a really great visibility in the passenger boarding bridge side, and it can be lumpy from 1 quarter to another quarter. So I certainly expect improvement in the second quarter order structure. And generally speaking, I do expect orders to keep pace for the remainder
Operator: [Operator Instructions]. Our next question is from Andrew Obin with Bank of America. Your line is open.
Emily Shu: This is Emily Shu on for Andrew Obin. Just the 25 basis points to 50 basis point headwind to incrementals this year from inflation and supply chain. Is that net of pricing? And are you expecting pricing to offset or more than offset inflation this year and also just curious how will net pricing play out quarter-to-quarter between the two segments? Thank you.
Matt Meister: Hi, Emily, it's Matt. Yes, I think in terms of your question about, is it net of -- is inflation net of pricing? I'd say yes. We are including pricing in that guidance. And then how it plays out through the quarter? On the AeroTech side, I think, as Brian earlier mentioned, it's a little harder for the AeroTech business to be able to raise prices in the short-term. A lot of their projects have been -- have a longer quote in closure cycle and those prices are somewhat built in as well as just the competitive landscape on the Mobile Equipment business just makes price increases in the short-term a little bit more difficult for that business. I think on the FoodTech side we are able to increase prices a little bit more, with a little bit more flexibility and we should see prices increase over the next few quarters as we adjust for this inflationary environment that we're seeing.
Emily Shu: Okay, great. And then just a quick follow-up. I'm curious, what are you guys seeing on the labor side. We've heard from a lot of companies so far that you know in addition to inflation and supply chain bottlenecks, shortage of labor has been a headwind. So I'm just curious what you guys are seeing on the labor side? Thank you.
Brian Deck: Labor is tight right now. It depends -- it's, state-by-state, honestly, but some of the federal government incentives didn't help that situation. So it's tied in. It does, obviously incrementally put a little bit of pressure on costs. We do a pretty good job. But yes, it's a tight labor market for sure. Both on -- I would say the direct labor side as well, again, more in the US, less in Europe, but also on the professional side that we see engineering and the commercial side and management, it's a tight labor market and we try to account for some of the incentive compensation that we need to address some of those things and that's also reflected in our guidance.
Operator: We have no further questions at this time. I'll turn the call over to Mr. Brian Deck for closing remarks.
Brian Deck: Great, thank you everybody for joining us today and if you have any questions, please feel free to reach out to Megan Rattigan. Have a nice day.